Operator: Good afternoon, everyone, and thank you for attending today's Vince Q2 Earnings Conference Call. My name is Jasmin, and I will be your moderator today. [Operator Instructions] At this time, I would now like to pass the conference over to your host, Akiko Okuma. You may now proceed.
Akiko Okuma: Thank you, and good afternoon, everyone. Welcome to Vince Holding Corp.'s Second Quarter Fiscal 2025 Results Conference Call. Hosting the call today is Brendan Hoffman, Chief Executive Officer; and Yuji Okumura, Chief Financial Officer. Before we begin, let me remind you that certain statements made on this call may constitute forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ from those that the company expects. Those risks and uncertainties are described in today's press release and in the company's SEC filings, which are available on the company's website. Investors should not assume that statements made during the call will remain operative at a later time, and the company undertakes no obligation to update any information discussed on the call. In addition, in today's discussion, the company is presenting its financial results in conformity with GAAP and on an adjusted basis. The adjusted results that the company presents today are non-GAAP measures. Discussions of these non-GAAP measures and information on reconciliations of them to their most comparable GAAP measures are included in today's press release and related schedules, which are available in the Investors section of the company's website at investors.vince.com. Now I'll turn the call over to Brendan.
Brendan Hoffman: Thank you, Akiko, and good afternoon, everyone. I will begin with an overview of highlights from the second quarter before turning the call over to Yuji to provide more details on our financial performance and outlook. We are very proud of the second quarter results we delivered with sales coming in at the high end of our expectations and profitability far exceeding our guidance. The outperformance in our bottom line is a testament to our team, our incredible product and the disciplines we continue to operate with as we contend with an evolving macro landscape. Let me start with our channel performance, where we saw encouraging trends across both wholesale and direct-to-consumer. Our DTC business showed particularly strong results in both our stores and e-commerce channels contributing to the growth we delivered. What's especially encouraging is that across both channels, we successfully elongated our full price selling season from spring, which supported our margin performance overall. In wholesale, we continue to be pleased with our performance at key partners. At Nordstrom's anniversary sale this year, we continue to be one of the top overall brands and across all partners, we're seeing strong momentum in our contemporary market positioning. With that said, our overall top line performance did reflect some delays in the shipping of fall orders at the end of the quarter as we recalibrated the supply chain amidst the evolving tariff landscape. Our product assortments continue to resonate with customers. In Q2, we saw strength in women's wovens and knits as well as with our buy now, wear now bottoms category, including pants and skirts. Our outfitting approach combining tops and bottoms, both knits and wovens has been a clear winner. Our men's business delivered another solid quarter with knits leading the way through elevated textures, while we also continue to benefit from nice results in our bottoms assortment. We're continuing to refine our messaging around fits for bottoms, maintaining consistency in our communication to male customers, and we're seeing a nice return of the customer. Women remain strong and wovens have picked up significantly for men's. Globally, I'm encouraged by our newly opened Marylebone store, which far exceeded expectations, and we will continue to evaluate opportunities longer term abroad. Here in the U.S., we're excited about our store openings this fall. Nashville opened up this past weekend, and we look forward to our upcoming Sacramento store opening. These markets represent strategic opportunities to fill gaps in our geographic coverage while supporting our e-commerce business in these regions. In addition, we are pleased with the results driven from our store remodels, validating our investment in enhancing our retail experience. There is a lot of momentum in the business right now. And as I mentioned, I've been very proud of our teams and our ability to successfully navigate the current environment. During the first half of this year, the bulk of our attention has been focused on dealing with the evolving tariff landscape. So far, we've done a phenomenal job with our mitigation strategies and expect to reduce the estimated impact from incremental tariffs by approximately 50% for the second half of the year through moving country of origin, vendor negotiations and strategic price increases. We are encouraged that we have not seen a change in quality of product and/or changes in our order book amidst these actions. This validates not only our strong value proposition, but our competitive positioning with contemporary. With more certainty around the tariff situation, we are now beginning to reinvest in the business. We're primarily focused on restoring top-of-funnel marketing dollars that we had pulled back on in the latter half of Q1. In addition, we're starting to think more about our longer-term growth opportunities. One of our most exciting prospects is leveraging our platform to bring other brands to life. As we look ahead, I'm more confident than ever in our strategic positioning. We are successfully navigating the tariff challenges, demonstrating our value proposition and maintaining the quality and brand integrity that Vince is known for. Our diverse sourcing approach is working. Our retail partners remain supportive. And most importantly, our customers continue to respond positively to our product offering. While we remain confidently cautious given the dynamic environment, the underlying fundamentals of our business are strong, and we're excited about the growth trajectory for Vince Holding Corp. With that, I'll turn it over to Yuji to discuss our financial results in more detail. Yuji?
Yuji Okumura: Thank you, Brendan, and good afternoon, everyone. As Brendan reviewed, our second quarter performance reflected our disciplined execution of our objectives as we deliver strong bottom line results with sales in line with the higher end of our expectations. Total company net sales for the second quarter decreased 1.3% to $73.2 million compared to $74.2 million in the second quarter of fiscal 2024. With respect to channel performance, our direct-to-consumer segment increased 5.5% with both our e-commerce and store channels contributing to the growth. This was offset, however, by a 5.1% decline in our wholesale segment as fall shipments went out later than the prior year as tariff mitigation strategies pushed the timing of receipts back by approximately 3 weeks. Despite the impact on the top line, the delays in our supply chain enabled us to elongate our spring selling season, contributing to strong gross margin performance for the quarter. Gross profit in the second quarter was $36.9 million or 50.4% of net sales. This compares to $35.1 million or 47.4% of net sales in the second quarter of last year. The increase in gross margin rate was primarily driven by approximately 340 basis points due to the favorable impact of lower product costing and higher pricing, approximately 210 basis points due to favorable impact of lower discounting, partially offset by approximately 170 basis points due to higher tariffs and 100 basis points due to higher freight costs. Selling, general and administrative expenses in the quarter were $25.8 million or 35.2% of net sales as compared to $34 million or 45.8% of net sales for the second quarter of last year. The decrease in SG&A dollars was primarily driven by decreased compensation and benefit expenses due to the receipt of approximately $7.2 million of payments from the U.S. Department of Treasury under the Employee Retention Credit Program, of which $5.6 million was recorded as an offset to SG&A and $1.6 million was recorded in other income. Excluding this benefit, underlying SG&A still leveraged as we maintained strong expense discipline in light of evolving tariff policies and broader macroeconomic environment. Operating income for the second quarter was $11.2 million compared to an operating income of $1.1 million in the same period last year. Excluding the ERC payments received, adjusted income from the operations as a percentage of sales was 7.6%, reflecting an increase of 604 basis points compared to the prior year period. Net interest expense for the quarter decreased to $0.8 million compared to $1.6 million in the prior year. The decrease was primarily due to lower levels of debt under our term loan credit facility. At the end of the second quarter of fiscal 2025, our long-term debt balance was $31.1 million, a reduction of $23.3 million compared to the $54.4 million in the prior year period. The provision for income taxes this quarter was $0.1 million related to discrete state tax impact associated with the interest portion of the ERC. The ordinary income tax expense was 0 as the company is anticipating annual ordinary income for the fiscal year and has determined that it is more likely than not that the tax benefit of the year-to-date loss will not be realized in the current year. This compares to an income tax benefit of $0.8 million in the same period last year. Net income for the second quarter was $12.1 million or income per share of $0.93 compared to the net income of $0.6 million or income per share of $0.05 in the second quarter of last year. Excluding the payments from the U.S. Department of Treasury under the ERC, the adjusted net income was $4.9 million or $0.38 per share in the second quarter of fiscal 2025. Adjusted EBITDA was $6.7 million for the second quarter compared to $2.7 million in the prior year. Moving to the balance sheet. Net inventory was $76.7 million at the end of second quarter as compared to $66.3 million at the end of second quarter last year. The year-over-year increase was driven by approximately $5.2 million higher inventory carrying value due to tariffs as well as our strategic decision to ship goods earlier in advance of the expiration of reciprocal tariff extensions. Turning to our outlook. For the third quarter, we expect net sales to be approximately flat to up low single digits compared to the prior year period, operating income as a percentage of net sales to be approximately 1% to 4% and for adjusted EBITDA as a percentage of net sales to be approximately 2% to 5% compared to the 9.2% in the prior year period. Our guidance takes into account our plans to begin to reinvest into the business, as Brendan reviewed, as well as approximately $4 million to $5 million of estimated incremental tariff costs that we expect to mitigate approximately half of through moving country of origin, vendor negotiations and strategic price increases. And while we have not seen any changes in our customer trends thus far, our guidance also assumes fairly cautious view on our consumers heading into the second half of the year, given the uncertainty that remains in the industry content with the incremental tariff pressures. With that said, as we have demonstrated to date, despite navigating a dynamic environment, our teams have remained committed to disciplined execution while delivering on our objectives and that we will continue to be our focus as we enter important fall and holiday selling season. This concludes our remarks, and I will now turn it over to the operator to open the call for questions.
Operator: [Operator Instructions] Our first question comes from Eric Beder with SCC Research.
Eric Beder: I'm curious, so the Q2, you shifted -- tariffs kind of led you to shift around the collection a bit in terms of timing and in terms of timing of discounting and some other pieces. And obviously, it paid off pretty well. How are you -- when you look at next year or in general, how you want to flow your collections, kind of what is the learning that you take from this? And kind of how can you sit back and maximize it kind of, I guess, next year when you start doing the collections again and kind of resetting?
Brendan Hoffman: Yes. I mean, listen, I've been doing this now for over 30 years, and we've talked about how deliveries have gotten out of whack with the actual seasonality. So I think we did get a little bit of a benefit in the learning from having to stretch out spring. We'll certainly analyze that more fully as we can look at over more than one quarter and see if it's a learning for next year. It does become a little difficult just with the whole industry. You don't want to be behind in terms of new deliveries. So I think we'll just have to study that and make a decision based on kind of a longer set of data. But it definitely was encouraging that we got -- we were able to stretch out spring while we had paused pre-fall because of the tariffs.
Eric Beder: Okay. And on the wholesale front, what do you look at here as kind of the ability to maintain the wholesale? And do you look upon kind of your decisions to maintain the quality, maintain the pieces as an opportunity here to pick up maybe more physical share in the wholesale as other players were not as kind of adept or as quick to respond as you were?
Brendan Hoffman: Yes. I mean I can't speak to others, but if that's the case, certainly, our ability to be as nimble as we were and get on track so quickly, I think, is a competitive advantage. I've said it before. I think it's a testament to the seniority and continuity of the team we have around creative design, product development, logistics, et cetera, that allowed us to really hit the ground running. And we've had a pretty much constant presence in Asia since this happened. So I feel that we're doing it as well as anybody. I think the other thing as we start to see how the strategic price increases are accepted, hopefully, there's some room there because I think we still offer tremendous value. So if we can see any unit drop be more than offset by the price increases, that's another headwind -- tailwind for us.
Eric Beder: When you look at the price increases, your customer -- I would think your customer base has the ability to absorb those price increases ahead of many others, right? It's a somewhat more affluent customer. I mean when you look at it, what -- how do you think about the elasticity of increasing prices? And how should we think about the customer base you have kind of affluent versus the aspirational and how to continue to, I guess, satisfy both of them?
Brendan Hoffman: Yes. I mean, no doubt, we have -- as we said, we sit in a great place where to some, we are kind of value for that true designer customer and others, we're aspirational. And we think carefully about both ends of that spectrum. When we take price changes, we don't just do it across the board. We do it very surgically, style by style to really understand if we evaluate, if we feel like the value is still there at the price point that we might be moving to. So it's by no means a blanket. And I think the team has had experience in doing that before. We did some of that at the beginning of the year, and we're seeing that come through in the margin. So I feel like we are in a good place. And as you said, being a little bit more higher end and elevated it gives us some room over more lower-priced product where the price increases are probably more painful.
Eric Beder: Okay. And last question. I know that at the beginning of the year, you guys have talked about increasing with some -- increasing in fall with some more accessories and other pieces. How has the tariff issues affected that? And what should we be thinking about and seeing in the stores in terms of new categories or new accessories for the back half?
Brendan Hoffman: Yes. So remember, those are really licenses. So those are ABG licensing out things like handbags and accessories and tailored clothing. So those partners who we work closely with, they're having the same sort of conversations and discussions we are in terms of resourcing and taking price changes that make sense for the consumer. But that's really less about us in terms of -- since we're just a -- we're buying directly from them.
Operator: Our next question comes from Jacob Mutchler with NOBLE Capital Partners.
Jacob Mutchler: I was just curious if you could let me know what percentage of products are currently sourced from China. I know it was mentioned in Q1 that roughly 80% of products came in were from China in '24 and then roughly 60% in Q1. So just curious where you're at in Q2 and how the company is progressing on reducing exposure to China.
Brendan Hoffman: Yes. Well, the company is progressing amazingly. I mean that's kind of what I was alluding to before, just the experience of this team and the boots on the ground. So the product that's hitting the floor now fall, that really wasn't impacted. I mean that was already produced. That was kind of the stuff that was being held. It's really as we get to pre-spring or holiday, where we made a lot of the movement. And as we mentioned before, it's somewhat less about China now because these tariffs keep moving around. It's really more about not being overexposed in any one country. And we're targeting 25% to kind of be that cap in terms of any one country. And I think we'll get there for holiday and certainly as we get into spring and continue to monitor these kinds of moving targets on the tariffs. Important to note, we've never done any -- India has not been a sourcing country for us. So we're not impacted by the high tariffs there.
Jacob Mutchler: Got you. Thanks for the color. And would you be able to talk about some of the freight cost trends you're seeing in the back half of the year? And I know you mentioned some shipping delays. And could you give a little bit of color around some of the drivers of those delays?
Brendan Hoffman: Yes, I'll talk about the delays and then Yuji can talk about some of the costing. I mean the delays were purposeful. I mean it was back in April and May when the tariffs were 150% and us like lots of people paused everything at Port of Origin. When the tariffs got brought down to the current levels, we, like everybody else, started to bring things in quite quickly to make sure that we beat any additional incremental tariffs. So we actually had the goods here. But because of what was mentioned on the earlier question by Eric, the delayed and the extended timing, it's kind of just backed everything else up. So pre-fall got in a little bit later, which, again, spring benefited from that. So we didn't want to have fall land right on top of that in store. So while we had a lot of the merchandise here, we held it for a few more weeks to give everything a chance to sell and breathe. I think that will normalize as we get into the back half of the year just because Christmas is a natural stopping point. So we'll have to manage backwards from Christmas. And so I think it will be more normalized. In terms of the freight costs, Yuji?
Yuji Okumura: Yes. For the freight cost, I mean, as you saw in Q2, it did have an effect on our gross margin. When you're looking ahead, like in terms of the trend, we don't see like significant uptick in our overall freight cost. But again, as we kind of trigger and move around the timing of goods, we have to think about the air and boat ratio as well. So that will continue to be fluid for the back half of the year.
Jacob Mutchler: Got you. And then one last question. As far as the number of stores that the company had in the quarter, could you just remind me of how many locations were opened in this quarter compared to last year? And then also, I know you mentioned the Nashville location and Sacramento location opening up. Are there any other openings planned this year outside of Sacramento?
Yuji Okumura: Yes. We just opened our Nashville location last week, and Sacramento is slated to open in October. We really -- we don't have any scheduled store openings for the remainder of the year.
Jacob Mutchler: Got you. And then the -- could you remind me of what the number of locations that were opened in the second quarter and then for the second quarter of last year as well?
Yuji Okumura: Repeat that question, I'm sorry.
Brendan Hoffman: We have 45 full-price stores opened and 14 outlets in last year. Just to double check, 47 full-price, yes, I think it was 14 outlets as well.
Operator: There are no additional questions waiting at this time. So I'll pass the conference back over to Brendan Hoffman for any further remarks.
Brendan Hoffman: Okay. Well, thank you, everybody, for joining us, and we look forward to updating you on Q3 in December. Thanks.
Operator: That concludes today's conference call. Thank you for your participation. You may now disconnect your lines.